Operator: Good morning, and welcome to NetSol Technologies Second Quarter 2024 Earnings Conference Call. On the call today are Najeeb Ghauri, Chairman and Chief Executive Officer; Roger Almond, Chief Financial Officer; and Patti McGlasson, General Counsel; and Naeem Ghauri, President and Founder. I would now like to turn the call over to Patti McGlasson, who will provide the necessary cautions regarding the forward-looking statements made by management during this call. Please proceed.
Patti McGlasson: Good morning, everyone, and thank you for joining us. Following a review of the company's business highlights and financial results, we will open the call for questions. I'll now provide the necessary cautions regarding the forward-looking statements made by management during this call. Please note that all the information discussed on today's call is covered under the safe harbor provisions of the Private Securities Litigation Reform Act. The company's discussion may include forward-looking statements reflecting management's current forecast of certain aspects of the company's future, and our actual results could differ materially from those stated or implied. These forward-looking statements are qualified by the cautionary statements contained in NetSol's press releases and SEC filings, including our annual report on Form 10-K and quarterly reports on Form 10-Q. I would also like to point out that we will be discussing certain non-GAAP measures. The press release issued earlier today contains a reconciliation of these non-GAAP financial results to their most comparable GAAP measures. Finally, I would like to remind everyone that this call will be recorded and made available for replay at www.netsoltech.com and via link available in today's press release. Now, I'd like to turn the call over to Najeeb. Najeeb?
Najeeb Ghauri: Thank you, Patti, and good morning, everyone. Like we began the fiscal year, our second quarter of fiscal 2024 was characterized by increases in total revenue, improved gross margins and profitability, which demonstrates both the strength of our business model and our ability to execute on our growth strategy. Revenue grew once again in the quarter, driven by solid performance across our business. As we continue to scale our SaaS business, our hybrid license and SaaS model has become a strong catalyst for our growth in both this quarter and throughout the fiscal 2024. We recognized substantial license fees of $3 million in this quarter as part of a new large contract in Asia with a major automotive company. We are thrilled. We have distinguished ourselves from a highly competitive pool of candidates to win this contract, which we expect to officially announce in the coming weeks. Our selection reflects both our visibility and recognition in the market as well as the superior performance and reliability of our products that is required by major companies operating on a global scale. License fees are a key part of our business, and we expect them to continue to represent a significant portion of our revenue for the foreseeable future. That said, license revenues can be a bit lumpy, and a major focus for us is to continue to build on an already robust pipeline of potential licensing and SaaS opportunities to deliver more consistent results over the long term. We achieved growth in our recurring subscription and support revenues in the quarter. At the heart of our SaaS business are products like the Otoz digital retail platform and our API-first marketplace, Appex Now. We are committed to the continuous innovation and improvement of these and additional SaaS offerings to meet the diverse demands of our customers, integrating a leading technology, such as deep learning AI algorithms, to ensure that we are positioned at the forefront of our industry. During the quarter, we unveiled Otoz 2.0, implementing major updates to our digital retail and mobility platform to expand on existing offerings, with a phased launch planned over the next year. The Otoz platform is a premier SaaS offering, powering services, such as MINI USA's MINI Anywhere retail platform since June 2021. Supported by Otoz, MINI Anywhere enrollment has doubled over the past 12 months and is now active across nearly two-thirds of the MINI USA dealership network in the US, enabling a 5 times increase in lead volume and vehicle sales. Also in the quarter, we expanded our relationship with one of our key automotive clients by supporting the launch of AutoNation Mobility micro lease marketplace with Otoz's back-end technology. The automotive market is witnessing a significant shift towards short-term vehicle usage options in lieu of traditional long-term leases, and the Otoz 2.0 platform is ideally suited to support this new micro lease marketplace that allows customers to navigate the entire leasing process, from vehicle selection to deal configuration to finalizing each transaction. Overall, we're very excited and pleased with our second quarter results. As I said before, our performance is a demonstration of both the strength of our business model and our ability to execute on our growth strategy. Moreover, we continue to strategically invest and allocate capital to further expand our presence across key high-growth markets like North America, and we are pleased to see steady progress across all three of geographic markets: North America, Europe and APAC. Given our recent results and trajectory, we expect to see strong double-digit organic revenue growth and improved margins in fiscal 2024 as we move into a period of more sustainability profitability. I'll now turn the call over to Roger Almond, our CFO, to go over our financials from this quarter. Roger?
Roger Almond: Thanks, Najeeb. Our total net revenues for the second quarter of fiscal 2024 were $15.2 million compared with $12.4 million in the prior-year period. On a constant currency basis, total net revenues were $15.3 million. For the six months ended December 31, 2023, total net revenues were $29.5 million compared to $25.1 million in the prior-year period. On a constant currency basis, total net revenues were $29.6 million. License fees for the quarter ended fiscal 2024 were $3 million compared with $16,000 in the prior-year period. License fees on a constant currency basis were $3.1 million. In the first six months of fiscal 2024, license fees were $4.3 million compared with $266,000 in the prior-year period and the same on a constant currency basis. Recurring revenues or subscription and support revenues for the second quarter of fiscal 2024 were $6.8 million compared with $6.5 million in the prior-year period and the same on a constant currency basis. Recurring revenues for the first six months of fiscal 2024 were $13.3 million compared to $12.5 million in the prior-year period and the same on a constant currency basis. Total services revenue for the second quarter of fiscal 2024 were $5.4 million compared to $5.9 million in the prior-year period and the same on a constant currency basis. Total services revenues for the first six months of fiscal 2024 were $11.9 million compared to $12.3 million in the prior-year period and the same on a constant currency basis. Total cost of revenues were $8.1 million for the second quarter of fiscal 2024 compared to $9.2 million in the second quarter fiscal year 2023. On a constant currency basis, total cost of revenues was $9.4 million. Gross profit for the second quarter of fiscal 2024 was $7.2 million or 47% of net revenues compared with $3.1 million or 25% of net revenues in the prior-year period. On a constant currency basis, gross profit was $5.9 million. Gross profit for the six months of fiscal 2024 was $13.3 million or 45% of net revenues compared to $7.4 million or 29% of net revenues in the prior-year period. On a constant currency basis, gross profit for the six months ended December 31, 2023, was $10.6 million. Operating expenses for the second quarter of fiscal 2024 were $6.1 million or 40% of sales compared to $6.2 million or 50% of sales in the same period last year. On a constant currency basis, operating expenses for the second quarter were $6.7 million or 44% of sales. Operating expenses for the six months ended December 31, 2023 were $12 million or 41% of sales compared with $12.3 million or 49% of sales in the prior-year period. On a constant currency basis, operating expenses for the first six months of fiscal 2024 were $13.1 million or 44% of sales. Turning to our profitability metrics. GAAP net income attributable to NetSol for the second quarter of fiscal 2024 totaled $408,000 or $0.04 per diluted share compared with a net -- a GAAP net loss of $2.1 million or a loss of $0.19 per diluted share in the second quarter of fiscal 2023. GAAP net income attributable to NetSol for the first six months of fiscal 2024 totaled $439,000 or $0.04 per diluted share compared with a GAAP net loss of $2.7 million or a loss of $0.24 per diluted share in the prior-year period. Included in our net income this quarter was a loss of $15,000 on foreign currency exchange transactions compared to a gain of $657,000 in the second quarter of fiscal 2023. On a constant currency basis, we realized a loss of $23,000 on foreign currency exchange transactions. Included in our net income for the six months ended December 31, 2023 was a loss of $149,000 on foreign currency exchange transactions compared to a gain of $2 million in the prior-year period. On a constant currency basis, we realized a loss of $197,000 on foreign currency exchange transactions. Because we operate in several geographical regions, a significant portion of our business is conducted in currencies other than the US dollar. A decrease in the value of the US dollar compared to foreign currency exchange rates generally has an effect of increasing our revenues, but it also increases our expenses denominated in currencies other than the US dollar. Similarly, as the US dollar gains strength relative to foreign currency exchange rates, it tends to reduce our revenues, but it also reduces our expenses denominated in currencies other than the US dollar. Moving to our non-GAAP metrics. Our non-GAAP adjusted EBITDA for the second quarter of fiscal 2024 was $725,000 or $0.06 per diluted share compared with a non-GAAP adjusted EBITDA loss of $1.3 million or $0.12 per diluted share in the second quarter of the previous fiscal year. Non-GAAP adjusted EBITDA for the first six months of fiscal 2024 was $1.2 million or $0.10 per diluted share compared with a non-GAAP adjusted EBITDA loss of $1.4 million or $0.12 per diluted share in the second quarter of the prior fiscal year. Please see the reconciliation schedules contained in our earnings release for our revised calculations of adjusted EBITDA for the quarters ended December 31, 2023 and 2022. Turning to our balance sheet. At quarter-end, we had cash and cash equivalents of approximately $15.7 million or approximately $1.38 per diluted common share. Total NetSol stockholders' equity at December 31, 2023 was $34.5 million or $3.03 per share. That concludes my prepared remarks. I'll now turn the call back over to Najeeb. Najeeb?
Najeeb Ghauri: Thank you, Roger. This was an excellent quarter for NetSol. We're excited by our progress and are very optimistic for the journey ahead. We believe that we are well positioned on a path towards growth and sustainable profitability, and we look forward to driving value for our shareholders as we continue to execute on our growth strategy in the later half of 2024. With that, I'd like now to turn the call over to operator for questions. Operator? Is she there? Roger? [Technical Difficulty]
Operator: Ladies and gentlemen, I apologize for the inconvenience. Please stand by. We will resume momentarily. Ladies and gentlemen, once again, we thank you for your patience. We will now be conducting our question-and-answer session. [Operator Instructions] Our first question is coming from the line of [indiscernible]. Please proceed with your question.
Unidentified Analyst: Hey, guys. Thanks for taking the question. You mentioned integrating deep learning AI algorithms into your technology. Could you elaborate a little more on those algorithms and how you're kind of leveraging that AI to enhance your product offerings?
Najeeb Ghauri: Thank you for that question. Naeem, would you want to jump in?
Naeem Ghauri: Yeah. Sure, Najeeb. So, what we do is that we have access to a lot of data, and we actually build, if you like, a warehouse of metadata, and then we run our algorithms based on that data that's coming from thousands of dealers, and our installations are across the globe coming from different markets. So, what we are able to determine are behavior and trends and patterns on, for example, what type of products are sold in one market as opposed to another, credit risk, credit underwriting, residual values on cars, how they're moving. So that data is really a treasure trove in terms of -- if you like, we run about $300 billion worth of assets on our portfolios across the globe. So, you can imagine the amount of data that we get. And on that data, we can build large language models, which is -- primarily can be used for generative AI, and then that is how we actually build our algorithms based on data that can generate a two-way conversation with any consumer going directly on our platforms, as well as our dealers who are accessing systems are able to understand somebody's credit risk pretty quickly based on how that data presents itself. So really, we are at the -- literally the tip of the iceberg, if you like, in terms of exploiting and manipulating that data to just add so much more value into our tech stack. And going forward, you will be hearing a lot more about more specialized modules and more discrete modules that we can deploy just for AI based on the amount of data we have and how much information we have on behavioral patterns to credit risk and, in fact, down to even what type of cars are being sold, down to what color, which markets. So, really it's a very exciting time for us in terms of getting into the AI, if you like, generation and iteration to now building more use cases out of the data that we have. Hopefully, that answers your question.
Unidentified Analyst: Absolutely. Yes, understood. Thank you. That's all for me.
Naeem Ghauri: Thank you.
Operator: Thank you. [Operator Instructions] Our next question is coming from the line of Todd Felte with AGES Financial. Please proceed with your question.
Todd Felte: Hey, guys. Congratulations on a great quarter there. Nice to see the improvement. Just had a few quick questions here. On the deals with MINI Cooper and AutoNation, I think, if I remember correctly, we're in 50 or 60 dealerships now. Can you quantify as to how much revenue that produces on a yearly basis for you guys?
Najeeb Ghauri: Yes. Thank you for this question, Todd. Both Roger and Naeem may help, but this is almost 60-plus dealerships that we have onboarded so far. Roger, you have specific numbers, right, for the annual revenue?
Roger Almond: Yes. Currently, we have, as Najeeb said, 60 dealers, and it brings in about $100,000 a year with the 60 dealers, so that's...
Najeeb Ghauri: No, $100,000 a month.
Roger Almond: Sorry, $100,000 a month, which is $1.2 million a year currently with the 60 dealers.
Todd Felte: Okay. That's great to hear. And on the AutoNation, I know you're growing really fast there. How much revenue is AutoNation contributing now? And what would you project for the current fiscal year?
Najeeb Ghauri: Naeem, you want to jump in? Naeem is a champion of AutoNation and mobility products. Go ahead, Naeem, please.
Naeem Ghauri: I can pick that up. So Todd, this is a different use case to many. For many, we are doing digital retail. For AutoNation, we're doing subscription. And what they've done is that they have launched the subscription product, we did a soft launch. But in terms of the revenue, we have generated already just over $1 million in terms of implementation and just tailoring the platform for their use case. Going forward, we believe if they hit the targets, this could be big or as big, at least, if not bigger than what we're doing with MINI, subject to them hitting targets, because the subscription is based on certain tiers. If they hit those tiers in terms of usage, then the revenue starts to grow. So, it's an exciting model because it's a win-win. If they grow, when they grow, we grow with them. And it could -- there's no upper limit or ceiling to where the revenue can grow if they do grow the product with the right marketing and planning.
Todd Felte: Okay. That's great to hear. And I assume that since it's set up, the margins on that AutoNation business, now that everything is set up, are extremely high for you?
Naeem Ghauri: I'm sorry, what's the question? It's all set up, yes.
Todd Felte: Yes. So, the margins should be very high on that AutoNation as it continues to grow?
Naeem Ghauri: Well, what happens is that there is a setup cost, which the client pays for. And our product is deployed on the cloud, and it's very, very scalable. So, it's like we could grow the Otoz's revenue by fivefold, 5x, without having a major impact on cost. So, really, it's the adoption. The faster or bigger the adoption, the better the margins, because we do have a fixed amount of cost to run the platform, and we are already in profit in terms of what we bring from MINI and AutoNation. So, we're already in the black. However, as they scale and they grow and we get additional customers, so we have a pipeline of new customers we are bidding for. And as that happens, with scale, the profit margins would grow quite rapidly.
Todd Felte: That's great to hear. I know your license agreement can be lumpy, and I know that currency exchanges or the currency gains and losses can affect your net income. But have you all reached the point yet where you're able to project positive operating income every quarter going forward? Or are you comfortable thinking that will happen?
Naeem Ghauri: I'll just give my take, then I'll leave it up to you.
Najeeb Ghauri: Go ahead, Naeem.
Naeem Ghauri: My take, Todd, is that, ultimately, the future for us is SaaS, but we are operating on a hybrid model where license is still very attractive. And although it's lumpy, good news is that from where we were three, four years ago, we're depending completely on license, now we are offsetting a large portion of our revenue within ARR, which is annual recurring revenue, as opposed to the lumpy license revenue. So, even if we don't get a big license revenue or, if you like, a win, we continue to grow our SaaS revenue at a decent pace so that, at some point, we'll have a tipping point where we will get to a position where even without any license income, we are profitable as a company.
Najeeb Ghauri: Also, let me add one more point, Todd, to Naeem. The beauty of our model is that, like Naeem said, it's a hybrid model. We do have a pretty good demand for our flagship Ascent in all three markets. Yes, it's a much longer sales cycle, then it goes through a lot of, I think, iteration. But combination is amazing with the license revenue and then, of course, with the SaaS, which is a growing trajectory for us. So all in all, I believe we are in a good position. If you look at the competitor, I think really, you see a company which has such an amazing history for license sales in all these 25 years. Now, we're managing both sides quite well effectively, and we believe, eventually, as I said in my prepared remarks, the growth is quite positive coming quarters and hopefully will continue in the following year. So I think overall, the higher revenue, whether it's license or, of course, SaaS, it just affects all the way to the gross margin and net income. And company has done a good job to be more efficient and a bit more leaner. That will impact all our metrics in the coming quarters.
Todd Felte: That's great. And that tipping point that Naeem spoke about where you won't even need licensing agreements to achieve an operating profit, would you expect that to happen this year or next year? Or is there any sort of...
Najeeb Ghauri: I believe next year is more probably because we're still building the sales trajectory here. So, I think, Naeem, next year is a better way to look at it, but to your question, specifically on the margins.
Naeem Ghauri: Look, I think in terms of when that tipping point is, I don't think we could predict that, but I think it's imminent. If you see a growth and if you see how subscription revenue has grown from single-digit millions to where we are in a relatively short time, I think we're reaching that point very soon. I don't -- I can't put a, if you like, a flag on exactly which quarter or which month, but I think we're not far off.
Todd Felte: Okay. That's great to hear. And then my final question is, I know in the past, you've had several share buybacks going. You look at the stock now. I think we're right around $3 a share in book value, and we're doing over $5 a share in sales. Do you have any share buybacks going on now? Or do you plan to announce any in the near future?
Najeeb Ghauri: Well, at this stage, we don't have any plan immediately in the short run, simply because, as I mentioned, we are investing in key markets, whether it's North America and some other regions, and there's a lot of activities in the new business opportunities, some new markets also, which we'll share with the market in the appropriate time. So obviously, we have done buybacks a few times in the past. And you're right, it is a very attractive price to do that, but we are very open about it, but we have not made the decision at this point.
Todd Felte: Okay. Well, I really appreciate you all taking my questions and congratulations on a fantastic quarter.
Najeeb Ghauri: Thank you, Todd.
Operator: Thank you. We have reached the end of our question-and-answer session. So, I'd like to pass the floor back to management for any additional closing remarks.
Najeeb Ghauri: Thank you for joining us today, and I do apologize for this little glitch in the beginning of the Q&A. I especially want to thank all of our investors for their continued support, our loyal customers and our most dedicated employees worldwide for their ongoing contributions. And we look forward to updating you on our next call. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Once again, we thank you for your participation, and you may disconnect your lines at this time.